Operator: Good day, and welcome to the Willdan Group Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Al Kaschalk, VP, Investor Relations. Please go ahead, sir.
Al Kaschalk: Thank you, Jenny. Good afternoon, everyone, and welcome to Willdan Group's Fourth Quarter and Fiscal Year 2021 Earnings Call. Joining our call today are Tom Brisbin, Chairman of the Board and Chief Executive Officer; Kim Early, Chief Financial Officer; and Mike Bieber, President. The call today builds on our earnings release we issued after market close today. You may find the earnings release and the investor report that accompanies today's call and press release in stock information section of our investor relation website on at ir.willdan.com. Management will review prepared remarks, and then we will open the call up to your questions. Statements made in the course of today's conference call, including answers to your questions, which are not purely historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements involve certain risks and uncertainties, and it's important to note that the Company's future results could differ materially from those in any such forward-looking statements. Factors that could cause actual results to differ materially and other risk factors are listed from time to time in the Company's SEC reports, including, but not limited to, the annual report on Form 10-K filed for the year ended January 1, 2021. The Company cautions investors not to place undue reliance on the forward-looking statements made during the course of this conference call. Willdan disclaims any obligation and does not undertake to update or revise any forward-looking statements made today. In addition to GAAP results, we'll then also provide non-GAAP financial measures that we believe enhance investors' ability to analyze the business trends and performance. Our non-GAAP measures include net revenue, adjusted EBITDA and adjusted EPS. Tom, I'll turn the call over to you.
Tom Brisbin: Thanks, Al, and good afternoon, everyone. We continue to build post COVID momentum. The fourth quarter and the year delivered results well ahead of our internal estimates. We see positive signs that the initial impact of COVID are behind us. As stated previously, all our contracts have restarted and access to customers is open in all geographies we serve. I would like to repeat that no contracts were canceled and revenue only moved out in time. Looking back at the year, we adapted well to the virtual work environment. As a services firm, our employees follow many benefits working from home. We anticipate most of our customers will be back in their offices over the next few months. We also expect our employees to return to a hybrid model. Our current challenge is ramping up the California IOU contracts. There are three key points I would like to make to help investors understand Willdan's position coming out of this pandemic. We have a record backlog of approximately $1.5 billion. We look at this simply as three years of work. Thus we conclude that winning work is not the priority for many parts of this -- of the organization. The priorities are ramping up, growing organically, executing and collecting the money fast enough to offset the capital needs of organic growth. The second point is how will the customers respond post-COVID energy efficiency. We think we have a pretty good idea at this point. The really small businesses are struggling and for the most part, utilities are looking on how to help them. Our largest energy efficiency contract, Los Angeles Department of Water and Power, LADWP, serving the Los Angeles area is now exceeding the weekly pre-COVID revenue. Simply stated, we are doing more now than before COVID. This tells us that the commercial customers are buying energy efficiency. We expect to ramp this contract more throughout the year because we have excess budget that was not spent during COVID. The third point is we have an all-time high headcount of 1,560 people, which is a 15% increase. At the same time, we only had 4% organic growth for the year. Thus, we have ramped up in personnel to deliver the California programs, but as planned, substantial revenue will not follow into the second half of 2022. Looking at the rest of the operations, engineering and consulting construction management, they are all well positioned for 2022. We do expect, as Kim will point out, as previously stated, 2022 as they ramp throughout the year, mainly because of the late start and the wrapping of the California contracts. In summary, we have the work and proof that the customers are buying energy efficiency. We also have all the people, the processes, the tools, the knowledge and the experience to execute the contracts. We expect about 20% organic growth in 2022. Looking a little deeper. The market for reducing carbon continues to grow. Electrification that being converted carbon fuels to electric is growing. The low electrification and electric vehicles will be increasing for the utilities. Thus, demand for energy efficiency will continue to be strong. As an example, we are starting on a New York City Housing Authority facility. This $90 million through a year design build contract reduces infrastructure-related carbon in New York City. This new first-of-its-kind program enters an innovative electrification measures to specifically lower their carbon footprint and improve existing infrastructure in public housing. Willdan's technical approach was selected competitively above all others and has application across the United States. We have also started the two-year $75 million design build project for facility -- for facility improvements for the Pueblo County School District 70. Willdan will provide engineering and construction management to update 19 schools and four district buildings. In 2022, we expect our construction management revenue to double approximately $70 million to $150 million. We have also gain ground in the IOU market. We were awarded a five-year $24 million energy efficiency program for a large mid-Atlantic investor owned utility. We've been a major competitor to grow into this new geographic territory. We have also won an expanded recompete with National Grid in New York. Our programs have not been immune to the disruption in the supply chain and overall cost inflation. In terms of procurement, we have seen delivery schedules extended. From a cost inflation perspective, we expect to see salary inflation as well as higher materials and equipment costs. The latter we expect to recover. We are building this potential disruption into our delivery study. The last two years of COVID had felt very stagnant. Most of our efforts have been on surviving and adapting. 2021 demonstrated we are emerging stronger. Our position in the clean energy space is strong. Our dominance in New York, California and the progressive COVID states is strong. We expect this year and the future years to be our best years. We have been working many years to build the foundation of Willdan. Our team of people and diverse capabilities is exciting to watch. The growing opportunities in this clean energy disruption is accelerating. Willdan is well positioned. COVID is behind us and now back to the business of growing the Company. Thank you to our employees and shareholders for their perseverance and tenacity over the last two years. I will now call -- I'll now turn the call over to Kim to discuss our financial results. Kim?
Kim Early: Thanks, Tom, and good afternoon, everyone. Our Q4 results were strong, continuing the recovery begin in Q3 of this year. While gross revenue for the fourth quarter declined by 4.8% from $96.9 million to $92.2 million net revenue, net of subcontractors, materials and other direct costs increased 2.1% to $51.8 million versus $50.8 million in Q4 of 2020. The divergent directions for gross and net revenue are a result of a shift in the mix of revenue. The increased revenue from LADWP was offset by lower construction management revenue. The decline in construction management revenue is a result of project completions earlier in the year, not yet being offset by the startup of new projects despite the robust backlog of new contracts. Gross profit for Q4 of 2021 was unchanged from Q4 2020 to $34.5 million, though the gross profit margin was slightly better at 37.7% versus 35.6% in 2020 due to the change of mix of revenue. G&A costs for the quarter were $6.6 million or 16.5% lower than a year ago, declining from $40.2 million to $33.6 million for Q4 of 2021. This was driven primarily by lower stock compensation and lower interest accretion charges related to contingent consideration adjustments made in Q4 2020. The lower G&A expense was a primary driver for the turnaround in income before income taxes from a loss of $5.9 million in Q4 of 2020 to income of $500,000 in Q4 of 2021. The $1.1 million noncash adjustment to our deferred tax valuation reserve related to certain state tax NOLs caused income tax expense to exceed pretax income for the fourth quarter, creating a net loss of $900,000 compared to a loss of $4.0 million in the same period of 2020. For the quarter, adjusted EBITDA increased by 9.7% to $9.4 million or 18.2% of net revenue compared from $8.6 million or 16.9% of net revenue a year ago. Our adjusted earnings per share were $0.47 per share for Q4 of 2021 compared to $0.46 per share in 2020. For the year, gross revenue declined 9.5% from $391 million to $354 million, but net revenue increased by 3.6% from $195 million to $202 million in fiscal 2021. The change in the mix of revenue sources, again, accounts for the differing trajectories of gross and net revenue. The mix of revenue also accounts for the improvement in gross profit margin when compared to the same period in 2020. Gross profit in 2021 increased 5% to $135.9 million or 38.4% of gross revenue versus $129.4 million or 33% of gross revenue a year ago. G&A costs for the year were essentially flat at $144.6 million versus $145.6 million in 2020 with higher salaries and wages being offset by lower facility and other expenses. The higher gross profit and flat G&A expenses were the primary drivers behind a 41.9% reduction in the reported net loss from a $14.5 million loss in fiscal 2020 to an $8.4 million loss in fiscal 2021. As a result of an increase in various deductions in credit, our effective tax rate was a credit 32.1% versus 26.3% in 2020. The adjusted EBITDA for 2021 was $27.5 million compared to $28.1 million a year ago, and adjusted earnings per share were $1.55 compared to $1.30 in 2020. The changes in our balance sheet and cash flow from a year ago reflects the changing mix of revenues, the impact of the restart of the LADWP program, the start-up of the new California IOU programs and continued debt reduction. Cash provided by operations was $9.8 million for the year. Capital expenditures were $8.5 million for the year, primarily for software development and IT-related equipment. Scheduled principal payments on our term loans and earn-out payments resulting from successful acquisition performance comprise a majority of the $18.5 million used in financing activities. On March 8, we amended our credit agreement with our five bank consortium to better match our expected cash flows and related covenant metrics with our expense -- with our expected growth-related working capital needs in 2022. Under the terms of the amendment, we draw the remaining $20 million available under the late draw term loan facility, leaving the full $50 million line of credit available to support liquidity and expected growth during the year. The amendment also adjusts our covenants to ensure an adequate margin for compliance obligations throughout the end of fiscal 2022 when the amendment provides were a return to the covenants under the original credit agreement. We're pleased with the support and cooperation of our banking partners as we prepare for our expectations of substantial growth in fiscal 2022. Looking ahead to fiscal 2022, we're expecting net revenue and adjusted earnings per share to grow by approximately 20% over 2021 and adjusted EBITDA to grow by about 50%. We estimate our effective tax rate will be approximately 25% for the year and weighted average shares outstanding will average $13.4 million. We expect the year to start slowly in Q1 and continue to ramp in each subsequent quarter as we ramp up the new utility programs and expand construction management activities. We expect the first half of the year to provide about 25% of the full year earnings as revenues trail costs under the new programs and 75% of the earnings to be realized in the second half of the year. We expect that ramp to continue into and throughout fiscal '23 and beyond on the strength of the contracted backlog. Operator, we're now prepared to answer questions.
Operator: [Operator Instructions] And we will go first to Moshe Katri of Wedbush.
Moshe Katri: A nice quarter. Good to hear from you. So just to confirm, we're going to have a bit of more of than usual of a back-end loaded year. Can you talk a bit about the costs associated with ramping some of the new contracts? How will that kind of impact margins during the first half? You have a lot of stuff, I guess, still getting deployed here the team on board. Maybe talk a bit about wage indication and how is also -- how that actually factored in some of the contracts that you have in terms of the ability to recoup some of that?
Mike Bieber: Sure, Moshe, I'll start. This is Mike. And Kim, you fill in where I missed something First, Tom mentioned, we have hired about 200 people in last year and now are at full strength to do the work that we have lined up for '22. All of those people have been hired. So they -- we already know what the cost is. There's not future cost risk we take in '22, one labor because we've already hired those people. That's first. Second, we're carrying roughly 150 people to operate the California utilities, and we did approximately $1 million of revenue last year. Obviously, that cost doesn't cover those types of people. That cost is going to go with us throughout the first half of the year. The minimal contribution in Q1, a little more revenue in Q2, but the big contribution is in Q3 and Q4. That's -- that schedule is aligned with our contracts that we've signed with these California IOUs. They have very specific delivery schedules and milestones in them. So we've built our forecast for '22 around those milestones in those contracts. There's not a lot of subjectivity or mystery about them at this point. We're well underway, and we're pleased with the way things are ramping up. Does that answer your question?
Moshe Katri: Yes. And then -- so just to confirm, any sort of recruiting costs that will be able -- will actually let you ramp and '22 has already been factored in the P&L at this point?
Mike Bieber: Yes, it has. Correct. We don't expect substantial hiring from this point forward. We have the people on staff we need.
Moshe Katri: Understood. And then do you measure attrition within your current staff? Has that been changing anyway?
Mike Bieber: It has. We monitored it. And like a lot of companies, it did go up somewhat in '21 and '22 -- I'm sorry, '20 and '21, the two COVID years. That was consistent with all of the industry data that we looked at. And so in spite of that attrition, we replaced all of those people and added 200 more.
Moshe Katri: Okay. And where are we at the attrition on the attritional level right now?
Mike Bieber: Voluntary was coming down last I saw, it was around 15% voluntary.
Operator: And if you have any further questions, please rejoin the queue at this time. We'll go next to Craig Irwin of ROTH Capital Partners.
Craig Irwin: So can you maybe clarify for us in your guidance, what you expect this year as far as revenue from the California IOU contracts that you signed in the last 18 months. How much of Willdan's 2022 guidance is from these contracts?
Kim Early: Yes. At the gross revenue level, that will be approximately $50 million.
Craig Irwin: Okay. Understood. So you're pretty clear about the higher cost of the start-up of this business. How do we gauge confidence or how do we gain external confidence that this theme of higher costs will taper down? This is something we've been talking about, I think, for two years now, higher cost, higher cost. I know COVID was a horrible thing for everybody to deal with. But what do you see the confidence that we'll see the execution on higher costs becoming less high costs in the back half of the year?
Tom Brisbin: I'll try to take that, Craig. Two primary costs to our business that will separate. We'll talk about labor and then equipment and materials. The labor cost now we've already defined for the business. We know what that is going in. We didn't go necessarily in Q3 or even in early Q4 of last year, but now we do. And we factored that into guidance. And you see that flowing through most of the Q4 results actually. So that's the labor, that's the largest component. Second largest component, of course, is equipment and materials. Those costs have raised depends on what you're doing, anywhere from 5% to as high as 15%, 20%. The costs in general have been able to be passed through our business on to the customer. We've been able to do that. We have not seen margin erosion at the project level thus far. What has happened though is the second part, which is supply chain duration delays. We think that -- I would say that as a percent complete basis, we would be 10% or so ahead of where we are right now, where we're not waiting on equipment to be delivered at our project sites around the country. So that's the biggest change that has occurred. It's the delay of materials that we install on job sites this call. Does that answer your question?
Craig Irwin: Completely. So last question, if I may. Many of your shareholders own the stock for more than $1 billion of additional work that's expected to be awarded over the next couple of years, both in California and in other markets. And your leadership as far as your very healthy share that you took of the IOU work for California energy efficiency. What would have you maybe bid differently on this work, this scope of work that's in front of us, what would have you been differently maybe to pursue higher natural margins? Or at this point, is there nothing that you would change as far as the way that you are chasing the broader longer-term opportunity?
Tom Brisbin: Well, I would love to tell you why we are changed, but we have been telling our competitors what we negotiated. There wasn't a lot of negotiating room. There were variable, let's call it, that the state, the PUC, the utilities had said, we need to meet this number. And if you don't meet this number, then it came in at the TRC primarily total resource costs. So we have to put in measures that are cost effective is what that's saying. There wasn't a lot of negotiated allow us.
Craig Irwin: So Tom, usually, the public utility commissions, right, when you do EMC work and things do not contain the profit profile that is forecast. You can go back and get change orders, right? And this is done regularly. Some transmission line companies are more liberal in their pursuit of change orders. They bid more aggressively on the price upfront and then go for change orders, others a bit higher and are known a bit higher and are not very frequently in front of the commission asking for change orders. Is there an opportunity for us maybe to see remediation on the profitability of these projects with change orders, given that things are obviously tracking below what was generally expected when all this work was led out to a bit?
Tom Brisbin: Yes. We have seen the utilities talk about change order may be the wrong word, but changing the contract terms because of COVID. So what we've done is we're kind of sampling the market in some of these contracts and showing and proving that, let's take the real small business. They are just not interested in energy efficiency. So there is room for renegotiation when you improve the utility that the world has changed. And the utilities are coming to the table saying the world has changed. So does that answer your question, Craig?
Craig Irwin: Well, Willdan is a very special company, right? Your execution and energy efficiency is highly unique, and you're committed to the success of what the California Utility Commission has set as far as some pretty aggressive goals that reach beyond some underperformance in the utilities over the last many years. And this special status of Willdan is something as a company, either public or private, there's a legitimate expectation that you could earn a minimum level of profitability on your contracts. And it seems like with the guidance, maybe just being a little bit lighter than most were looking for that, that would be a very clear and fair thing to get in front of the commission with given that they want people to actually bid on the next round of work instead of refusing to do it and let them go back to the dysfunctional models that they were using to execute so-called energy efficiency in the past. And you follow my logic. I'm just looking -- I'm looking for potential ways to get the recourse where some serious effort and engagement from one of the leading experts is compensated fairly. And it doesn't seem like that with the guidance that you shared with us today.
Tom Brisbin: Guidance I would until you said the guidance we shared with you.
Craig Irwin: Outlook for '22?
Tom Brisbin: You mean you think the margin should be higher. Do you think the revenue should be higher? What are you saying?
Craig Irwin: I think the margins are tracking below where they should be, and there's probably frictional costs below the margin line that are probably not included in the contract that should have been in the first place. And the start-up costs really need to be carried as a burden by the utilities because that is a functional piece of the total equation. And if California is committed to the success of their energy efficiency programs, they need to take a holistic view. And they've got the best guy in the market working on this. But the profitability is not what many people would believe fair natural profitability should be, given that you're carrying on your P&L, the expense of these employees on start-up when there should be not the impact of dilution, but maybe breakeven or modest profit ahead of a very large scope of work that has to get done. I mean, there's a lot that they really want to see you do that I know you're going to do a great job on. You follow my logic?
Tom Brisbin: Yes. We love start-up costs, but this contract didn't include it. So we got included in our price that we gave them, and we have to deliver. So what we're working on, right, is we're just getting started. Once we deliver, I think our voice will get stronger, and we'll have a better negotiating position. Do you want to add anything to that? I'm trying to.
Mike Bieber: No. The other thing, Craig, is that the volume -- the way the programs are actually designed and the way they were bid, the volume of revenue we can claim in the first part of the year is very low, not covering our costs. Margins pick up substantially as that volume comes up -- so we don't have a margin problem when we hit even close to the run rates that these programs will perform over the few years and even in the back half of this year as we're ramping up. Remember that, as Kim pointed out, $50 million in revenue is 1/3 of the average volume we have to have on these projects over the last -- over the next four years. So we're going to have a substantial ramp even in '23. We just were unable to convince them to pick up the start-up costs. That's the way they were designed. So there hasn't been anything that we didn't expect or that was out of the design of the programs as we sign the contracts. We just need more volume.
Tom Brisbin: And that's timing. I mean we're behind, we're behind because of COVID we're behind it because California was delayed. And we started the world did not start. So we'll catch it up.
Operator: [Operator Instructions] We will go next to Chip Moore of EF Hutton.
Chip Moore: Guys, just wanted to follow up on that one on the California IOU revenue. So $50 million in '22, to your point, about 1/3 of the average volume over the next four years that in fact a pretty significant step-up, obviously, in the coming years. Are there any limiting factors -- so what's a realistic figure for '23, if you will, that you could pay if everything is coming?
Tom Brisbin: Yes, Chip in '23, the number will be between $150 million and $200 million in revenue from the California IOU contracts, something like that. And that's set forth in the goals of the contracts.
Chip Moore: And just a couple of minor ones for me. You talked about LADWP, they have some unused funds from when that program is shut down. Any way to think about potential magnitude? And would that be potential upside?
Tom Brisbin: It is. There's I don't know if this is a public number, so I'm not going to give the -- we know the number. There's more than $100 million of additional unspent money. How about that? They've given us all the numbers. They have recently expanded the scope that we're serving, and we continue to look with the customer at ways to expand the program so that we can fully extend the dollars they have in the contract and have charged the public for. The customer support have been doing that. And so there is potential upside there.
Chip Moore: None of that is in the guide?
Tom Brisbin: None of that is in the guidance, correct?
Chip Moore: Just one last one. IA software. I think you were talking about $10 million for the year. Is that where it came in? And are you expecting sort of similar for this year?
Tom Brisbin: Yes. They were a little above that, Chip. I think they were closer to $11 million for the year. They had an outstanding 2021. And we would expect that number to grow, frankly, in '22. The pipeline of opportunities for software is very good. And even into Q1, Q2, I think we'll sign some new licenses and bring in some new customers. Looks good.
Operator: [Operator Instructions] We'll go next to Marc Riddick of Sidoti.
Marc Riddick: Wanted to touch on a couple of things. First of all, I appreciate the guidance provided as far as the visibility, I wanted to touch a little bit on that because it seems as though with all the pieces that you've kind of mentioned there, it seems as though overall visibility for you is meaningfully improved over the last three to six months. And from that advantage point, is there any kind of swing factor that you're looking at that is still -- that's still a bit iffy to you as to how you're looking at numbers going forward, not just around the '22 guide, but specifically, is there any particular issue that you're looking at as a major swing factor to what you're currently expecting?
Tom Brisbin: No, there's not, Marc. I would say that we've never been in this position before. We booked I won't say all, but the overwhelming majority of work that we need to book this year. And we've never been in a stronger position. We've never been as strong a position as like this. So it's unusual. And it's not only this year, it's throughout 2023 and even in 2024. So it's all about execution right now. It's really not about what in work. We've never been in this position before. So very good.
Marc Riddick: Excellent. And then the extra piece, and I appreciate you mentioning some of the supply chain constraints on sort of where you are on timing and things like that. I was wondering were there any meaningful or any visible impacts from Omicron that slow things down as well as far as operations?
Tom Brisbin: Supply chain has slowed certain projects, especially the -- when you're delivering more complex equipment like custom-built boilers, chillers, large year for universities and hospitals. That type of equipment is being delayed. We're working closely with our customers. As I mentioned, we might be 10 or so percent ahead on those projects on average. We didn't have those types of delays. The customers are understanding. It has not resulted in cost escalation though for that complex equipment.
Marc Riddick: And any Omicron impacts?
Tom Brisbin: Those are abating. I can't think of any that were substantial in Q4.
Operator: And we will go to our next question from [Richard Isenberg] a Private Investor.
Unidentified Analyst: Since you expect in 2023 for the contribution from California to increase between $150 million and $200 million, is it logical to assume that you should make more than $3 in EPS in 2023?
Kim Early: That's a long way away for guidance. So you can apply your logic. We're not going to give guidance as far as answer. We've told you where the revenue is expected to go, but that's where we're at.
Operator: And with no further questions in the queue, I would now like to turn the call back over to Tom Brisbin for any additional or closing comments.
Tom Brisbin: I'd just like to thank all our investors and employees throughout the phone, and we'll see you again in next quarter. Thanks a lot.
Operator: And so this concludes today's call. Thank you for your participation. You may now disconnect.